Operator: Good day and welcome to the Evolution Petroleum Corp., First Quarter Fiscal 2015 Earnings Release Conference Call and webcast. All participants will be in listen-only mode (Operator Instructions) after today's presentation, there will be an opportunity to ask questions (Operator Instructions) Please also note this event is being recorded. I would now like to turn the conference over to Mr. David Joe, Vice President and Controller. Please go ahead, sir.
David Joe: Good morning. Thank you for listening to Evolution Petroleum's conference call to discuss results for first quarter of fiscal 2015 ended September 30, 2014. I am David Joe, Vice President and Controller for Evolution Petroleum. With me today are Bob Herlin, our Chairman and CEO; Randy Keys, our President and CFO and Daryl Mazzanti, our Vice President of Operations and Executive Vice President of our wholly-owned subsidiary in NGS Technologies. Before we begin, let me cover the basics. If you would like to be on the Company's email distribution list to receive future news releases, please see the contact information on our news release. If you wish to listen to a replay of today's call, it will be available shortly by going to the Company's website at evolutionpetroleum.com or via recorded telephone replay until November 21, 2014. The replay information can be found in the earnings release. Please note that any statements or information provided today are time-sensitive and may not be accurate at a later date. Our discussion today may contain forward-looking statements that are based on management's beliefs and assumptions that are based on currently available information. We can give no assurance that such forward-looking statements will prove to be correct, as they are subject to risks and uncertainties that are listed and described in our filings with the SEC. Actual results may differ materially from those expected. Our discussions also may include discussions of other categories of reserves besides proved reserves such as probable, possible or potential reserves or recovery and such estimates of non-proved reserves are more speculative than proved reserves. Since detailed numbers are readily available to everyone in today’s new release. This call will focus on key overall results, operations and our capital plans for fiscal 2015 and beyond. With that, I would like to turn the call over to Bob, Chairman and CEO of Evolution Petroleum.
Robert S. Herlin: Thanks David. Good morning to everyone. We had some really good news today that over shadows anything that we can say about results for the quarter. Denbury the operator of our Delhi field informed us that based on their preliminary calculations payout in the Delhi field occurred during the month of October 2014. This means that we have earned our 23.9% our reversionary working interest effective November 1, 2014. Our net revenue interest in the field will increase from the current 7.4% of mineral and overwriting royalty interest to a total of 26.5% that includes the 19.1% from our working interest. This is a milestone that we’ve have pointing towards four years and marks the most substantial achievement by the company. At this time, I think it could be useful to briefly review the history of the Delhi field and what it means to Evolution Petroleum Corporation. Discovered in the 1940s Delhi produced about 109 million barrels of oil through 2003 moving purchased to filed. Production by then was down to only 20 barrels a day or so. As a start up with the first office address being my living room, we’ve raised our first $1 million of equity and $1.5 million debt to complete the purchase. We’ve raised bit more equity to redevelop the field an increase production to about 145 barrels of oil equivalent per day through drilling and completions. In early, 2006 using very expenses mezzanine debt we took another big risk and we bought overwriting royalty interest. And then in mid-2006 we entered into our transactions with Denbury to potentially develop a CO2 flood within Delhi, but solely at Denbury’s election and timing. We assign them our working interest in exchange for $50 million in cash and 24% working interest that reverted back to us after the project generated 200 million in revenues less direct operating expenses. Now we all watched as the project was buffeted by wide oil price swings, fast rising oil field construction enduring cost and the delays related to Mississippi river flooding and hurricane. We reached the first milestone in 2009 late with the first injections of CO2 and then first oil response in the spring of 2010. The field outperformed expectations into 2013, but then production was impacted and development suspended by the environmental event of June 2013. The resulting remediation cost that were charge by the operator to our payout balance pushed our reversion date back my more than a year, which is where we are today. Now we do continue to disagree with the operator about those charges. To this point, the revenues from our royalty interest have been the primary source of income for the company and we’ve been careful to not live within our means, but to begin returning a portion of the success to our shareholders in the form of common stock dividends. In the recent quarter that we are reporting on, revenues were about $4 million, essentially all from Delhi and all prereversion, with reversion that revenue number would approach some $14 million on an equivalent basis. With no change in overhead cost however keep in mind that that reflects oil price of close to $100, on the other hand our largest single operating expense will be the purchase of CO2, and that is priced based on price of oil, therefore our largest single operating cost will vary in the same direction is our oil price, thus partially insulating our cash flow from declines in the oil price. As production increases overtime as projected due to planned capital expenditures we fully expect that Delhi revenues should grow substantially, not only covering our share of future capital expenditures and operating expenses, but also providing additional free cash flow particular as the project primary rollout is completed over the next few years. Our capital plans for fiscal 2015 are now clear with the reversion of this working interest, we are responsible for paying our 23.9% share of operating cost in capital expenditures in the Delhi field going forward. We expect to begin approving expenditure result by the operator to install a recycle gas processing plant starting in 2015 and continuing expansion on CO2 flood patterns into the next phase in eastern part of the filed. Our reserve report shows total capital spending of about $45 million over the next four years net to us and the gas plant being about a third of that amount. We believe that our Delhi capital spending could be as much as $25 million to $27 million over the next 18-months to 24-months again, well within our projected cash flow that’s generated. These expenditures are projected to substantially increase productions of oil, gas liquid and methane through the end of this decade. In short, this has been a very good day for shareholders. I’m now going to turn it over to Randy Keys, President and CFO for a review of our financial results for the quarter.
Randall D. Keys: Thank you, Bob. During the quarter we earned $960,000 or $0.03 per common share, we saw a small decline in production from the Delhi field to $425 barrels per day net to our royalty and overwriting interests. We understand from the operator that a significant part of this decrease resulted from a single producing well which ceased producing and we recently received an AFE from the operator to participate in the redrilling of that well post reversion. Now that reversion has occurred, we are optimistic that the development program in Delhi field will get back on track and we will see meaningful increases in production in the years to come. When the gas plan is operational as expected in the first half of calendar 2016, we should see significant sales of natural gas liquids from the recycled gas stream and other benefits from the utilization of recovered methane and greater efficiency in the flood. Price this quarter, this most recent quarter were down about 10% year-over-year from 110 barrels in 2013 to $99 per barrel in the most recent quarter. And the pricing in the Delhi field is based on Louisiana Light Sweet index pricing, which has generally tracked much closer to Brent than WTI, and as I’m sure all of you are aware over the past couple of weeks, we have seen Brent prices fluctuate in the low to mid-80s per barrel, so that would represent a further 15% decline in prices from the most recent quarter. In our Gas Assisted Rod Pump or GARP operations we completed one installation and began installation in another well under our previously announced contract. The first two wells in this program have delivered production increases in oil and gas production which are within the range of our expectations. We have a very active marketing program for GARP with a number of quotes and proposals out and we added a full-time salesman during the quarter. We’re also awarded additional patent rights on a preliminary basis for our slim hole technology which allows GARP to be installed in wells with standard casing diameters of 5.5-inches or even 4.5-inches. This will dramatically increase the number of wells which are potential GARP candidates. The restructuring plan that we put in place at the end of 2013 has resulted in a significant reduction in our general and administrative expenses from $1.9 million last year to $1.5 million in the current quarter. In addition we’ve recently completed the divestiture of the last of our non-core properties with the October sale of our remaining interest in the Mississippi Lime project in Oklahoma for gross proceeds of approximately 400,000, subject to customary closing adjustments. With the restructuring and divestiture process now complete, we are focused on our two key opportunities, marketing our GARP opportunities and continuing development of the Delhi field. Now, I’m going to turn it back to Bob for conclusion.
Robert S. Herlin: Thanks Randy. In summary, during the past year we’ve had several important milestone events. First, we restructure the company and significantly reduced overhead as we shifted our emphasis away from non-core assets in traditional oil and gas development operations. Second, we focused operational efforts our artificial lift technology is a key part of our growth strategy going forward, while still very small today, we are convinced that this unique solution presents a broad and growing opportunity to the industry. Third, and of great importance, the Board of Directors initiated the payment of cash dividends in our common stock at a rate that now results in a better than 4% yield on our common stock. Delivering this return to our shareholders is a very important part of our financial strategy and we expect the dividend to continue and over time to grow. Going forward, we are in excellent financial health with $22 million in working capital, no debt and substantial free cash flow from current operations will expand even further due to our reversion in Delhi in the growth in that operations. Our working capital plus projected cash flows from operations should be more than adequate to meet our capital needs and provide an attractive and substantial dividend to shareholders, which we expect to grow over time. We will continue to retain considerable balance sheet strength and liquidity to allow us a flexibility to meet our needs in Delhi and grow the GARP business. We may even see compelling value opportunities that arise from the downturn in oil prices should it continue. We remain very excited about our position in the industry and our ability to provide continuing share value growth and yield to our shareholders. With that we are ready to take questions. Operator please open the line for those questions.
Operator: Thank you, sir. (Operator Instructions) Our first question comes from Jim Collins of PG LLC. Please go ahead.
James K. Collins – Portfolio Guru, LLC: Good morning guys, congratulations on everything.
Robert S. Herlin: Thank you.
James K. Collins – Portfolio Guru, LLC: And the question, question I have is on that Delhi, now that the reversion has happened from a quarter bases will this spur you to implement a hedging program on a more robust basis and because obviously you’re going to have a much more exposure to Louisiana Light Sweet. And then, the second part of question is where do you think the basis differential is going to go going forward for LLS?
Randall D. Keys: Well Jim, at this point in time, we are still in a position where we have no debt and therefore no financial obligations to third-parties, obviously we do have exposure on our CapEx requirements at Delhi. Obviously perfect hedging of course perfect hindsight, do we should we be maybe hedge back at 100, sure, like anybody else would, but that’s never really been part of our overall corporate strategy on the idea that our shareholders own us for yield, but also provide a hedge of their own or a portion of oil price exposure for their portfolio. To me hedging is always a functional decision. Do you have the requisite cash flow to meet your immediate financial needs and we are not in that position. So just in general the Board is not really supportive of doing hedging and obviously at this point in time, hedging doesn’t make a lot of sense, because we’re well down the curve on typical cyclical movement in oil prices.
James K. Collins – Portfolio Guru, LLC: Yes, right.
Randall D. Keys: So I would hate to locking in the low oil prices, if prices were to go back up, in order to I want to pay the price of hedging if oil prices stay where they are. So then you have to look at where do we think there is a lot of downside exposure. Just always possibility but based on historical trends generally a lot more downward movement will be more unlikely short lived. Since we have a 40-year asset, we don’t have immediate need to hedge – to protect payments I would say there is not real any great interest in hedging at this point in time.
James K. Collins – Portfolio Guru, LLC: Okay and the second part of the question was just on the differential that you are seeing with LSS?
Randall D. Keys: I suspect that we will continue to see some differential then that would be primarily transportation based, where is the bulk of the crude coming from its affecting the market and its coming out of the Eagle Ford from the West, South West coming down from the North from the Bakken and so forth. And so our oil at Delhi moves by pipeline, never touched it throughout goes by the pipeline straight to the market in Louisiana where our competition is either important oil or oil moving by barge rail pipeline from far way. So I suspect we’ll see continuing differential, but I’m not sure, that we’ll see much more than it where it is today, maybe $3, $4 something like that. That’s certainly what we are planning on.
James K. Collins – Portfolio Guru, LLC: Okay, that’s great. Thanks a lot, Bob and congratulations once again.
Robert S. Herlin: Thanks, Jim.
Operator: (Operator Instruction) Our next question comes from [indiscernible] of Sidoti & Co. Please go ahead.
Unidentified Analyst: Hi, good morning guys and congratulations on the reversion in the quarter.
Robert S. Herlin: Thank you.
Unidentified Analyst: Yes, so I guess my question is related to the Delhi field. So the gross production has decreased for about three consecutive quarters. And just by listening to Denbury, it does seem that they are probably going to hold their CapEx flat if not lower. Did you have any talks with them about like next year, development plan? Now that you are working interest owners and also how are you guys looking at other opportunities that might emerge from these low oil prices and you guys are well capitalized to take advantage of that?
Robert S. Herlin: To start with your first question about the CapEx at Delhi. Yes, we’ve had meetings with Denbury to talk about CapEx plans; obviously I’m not going to go into detail on that that’s conversion between the two companies, but our expectations are that exactly what we’ve said in the past. That we expect a very heavy level of CapEx expenditures in the next two years, to begin the constructions of recycle gas processing plant that is critical for improving the efficiency of the flood as well as recovering high valued NGLs, as well as recovering methane that will help drive down our operating expense. Consequently very high bang for the buck so to speak, we also expect to see next year expenditures to expand into next phase of the deal. One thing you need to keep in mind I am somewhat speaking out of term, because I don’t know Denbury’s plans and mottos, but I can from an outside look at it and say. Delhi is a project where there has already been considerable capital expenditures on infrastructure and facilities necessary to get your first barrel of oil produced. The incremental CapEx will actually generate a very high level of return on incremental basis for the dollars being spent, because of that preexisting infrastructure spending. So the expenditures in Delhi will have a very high impact not on – just on us, but on Denbury as well as compared to perhaps investing in a younger – newer project, we are putting money in infrastructure that will actually generate return for many years down the road. Expenditures at Delhi on the other hand will generate high returns within the next year. So that as a much better value for an operator so to speak. So we don’t anticipate any significant change from our plans for CapEx at Delhi over the next two years. Obviously, we don’t control that, but we’ve do have some influence as a working interest owner. Second question was – oh! Yes. By now there is not a lot of opportunities because we are still early into the oil price cycle, if prices stay down or drop further I think that we will see some opportunities now whether or not we look to take advantage of those, that’s up to the Board of Directors to make that decision based on recommendation that management makes. So I can’t tell you at this point in time what we’re going to do, but we are going to be very carefully watching the opportunities. We are going to be mindful of the [indiscernible] that we have. This is exactly why we have been financially conservative over the years and just for this reason the time you want to be highly liquid and debt free is when the market looks really crummy that’s when you make your best investments. So we deliberately planned around this possibility and feel like we are in excellent position to take advantage if that makes most sense for shareholders.
Unidentified Analyst: Okay, great. Thank you, guys. Congrats again.
Robert S. Herlin: Thank you.
Operator: Thank you. Our next question comes from Joel Musante of Euro Pacific Capital. Please go ahead.
Joel P. Musante – Euro Pacific Capital, Inc.: Hey, congratulations on the reversion.
Robert S. Herlin: Thanks Joel.
Joel P. Musante – Euro Pacific Capital, Inc.: I just had – I’m trying to put a finer point on my second quarter fiscal numbers. So just trying to get your thoughts on, first it sounded like a definitive decision on reversion hasn’t necessarily been made yet, so I mean when do you expect that final decision I guess to be made?
Robert S. Herlin: Well, as you well know Joel, companies don’t close after books right on the first day following end of a month. It takes while the closeout the accounting treatment and so until those books are closed they are going to be reluctant to affirmatively state anything. On the other hand what we’ll say and we know is what’s the balance was – going into the month. We’ve a good idea of what cash flow was for month that we know all the things that went on outside our basic operations. So in this particular case there was a very large insurance reimbursement that they received which took us from a small balance to a significant – overpayment or surplus in the payoff account. And so it would be a real stress to think of anything that could interfere with that payout determination and that is the reason why they publicly stated that payout had occurred since on a preliminary basis as we are, but you can’t say absolutely quantitatively without a doubt until they actually close our books is because that’s how you get into trouble is by same stuff that you don’t actually know 100% for the effect. So we can’t stay with quite high level of probability, yes payout has occurred.
Joel P. Musante – Euro Pacific Capital, Inc.: Okay. So its possible that, when you go into your third quarter you might – your second quarter numbers might just reflect the royalty interest all the way until the end and then the third quarter you reflect the full both the royalty and reversionary interest and then you might get reimbursed during that quarter over the past – for past income I guess.
Robert S. Herlin: No, I would say we actually have when formatives taking on the paper from Denbury stating payout has occurred as of November 1 and so our expectations are that we will see revenues that we will record for the working interest starting November 1. And so that our second quarter should include two-month of the working interest and three-months of the royalty interest.
Joel P. Musante – Euro Pacific Capital, Inc.: Okay. All right and then just one – go ahead I’m sorry.
Robert S. Herlin: Well its juts that we are always very – we want to be very careful to provide all the caveats that you have to that say look this is what all the numbers show, we cant absolutely positively but a bowl on it until accounts are closed out, but we know that there is a very large surplus amount in the payout and so it would be hard for me to think of any situation that some sort of charge has escaped their attention that will overwhelm that surplus, I mean we're not talking about $1 million or $2 million, we are talking about $10 million or $15 million surplus which is twice the cash flow generated on monthly basis. So yes Joe let me…
Joel P. Musante – Euro Pacific Capital, Inc.: I was just looking at it from an accounting point of view; I’m assuming that reversion already happened, so I’m not questing that.
Robert S. Herlin: Yes, we definitely are curving as of November 1.
Randall D. Keys: Right and Joel, this is Randy. Just to put a further point that we expect to receive our first revenues from the working interest around the 20 of December which will be for the November production month. So we would expect to have already received cash by the end of the quarter attributable to the working interest. So we do expect to have two months of working interest revenues and expenses in the second fiscal quarter.
Joel P. Musante – Euro Pacific Capital, Inc.: Okay and then just more question on operating costs, now that you have the working interest, because you weren’t recording operating cost for the royalty interest. What kind of number do you think we should use for that?
Robert S. Herlin: You know we don’t like giving guidance, simply because we are not the operator. Historically it looks like operating expenses excluding remediation charges and so forth run around $7 million a month to the 100% working interest and that’s just kind of a rough ballpark. Now obviously the biggest component of that for our perspective is the cost of CO2 which directly ties to the price of oils, as oil goes down, the price of CO2 goes down which obviously will drop operating expense. A lot of that’s tied to how much CO2 is purchased on a daily basis for the month or the quarter; obviously the oil price is going to get into CO2 price. The rest of the costs are pretty close to being fixed, I mean the basic operating cost stab out there, repaid and maintenance, power and so forth, which are fairly non-volatile so to speak.
Joel P. Musante – Euro Pacific Capital, Inc.: Okay. All right, well thanks a lot and congratulations.
Robert S. Herlin: You bet.
Joel P. Musante – Euro Pacific Capital, Inc.: Thanks.
Operator: Our next question comes from Chris Campbell or SW Securities. Please go ahead.
Chris V. McCampbell – Southwest Securities, Inc.: Chris McCampbell. Congratulations Joel. On Denbury slide deck yesterday, year-over-year from their investor presentation to today's presentation, they showed proved and potential for Delhi going from 33 million to now 40 million barrels. Do you all have any color on that at all.
Randall D. Keys: Well I would say that – first of all those are their net reserves okay, so that’s not gross to project, its net to them, obviously that net is heavily impacted by our reversion so forth, so because that 24% working interest 19% revenue just is now in our hands. I can’t really speak, they do their reserves, we do our reserves, these are same reserves engineer base company chooses what portion of the engineering support did they use. In our case, we’ve reported our reserves as of June 30 and those reserves reflect a reversion point essentially within 30-days what has actually happened and so you know highly accurate in terms of how it’s calculated. And that’s really all I can speak with any authority is our reserves, how they do there is a different issue. So I cant tell you how they get to their $40 million, I know how we got our $22.5 or whatever ours numbers are.
Chris V. McCampbell – Southwest Securities, Inc.: And now that you know your CapEx going forward. Is there a particular buggy that you all are kind of waiting on in regards to raising the dividend or share repurchase?
Randall D. Keys: Sure, our next activity, our focus is to amend and expand our revolver, which currently is a token $5 million unsecured revolver and we want to expand that to a senior secured revolver of substantially more funding potential. To give us a backstop for any kind of CapEx obligations going forward, which would then give us far more flexibility and what to do with our current working capital. As I mentioned, we are looking at some fairly heavy CapEx requirements over the next 18-months, well within cash flow but with the uncertainty on oil price I really want to get through the bulk of those CapEx, capital expenditures before we really seriously look at increasing our dividend. I think we’ve said in the past is that more unlikely the board will not start seriously considering an increase in the dividend for about a year. I would say sometime in the fall of next year is when I would put it on the table for the board to consider an increase. That will get us through a big chunk of these CapEx gets through this little uncertainty on oil price and so forth. And we’ll have our revolver in place. Now that doesn’t mean that we won’t rule out a possible special dividend during the course of that timeframe depending on how things go if we feel like we don’t really need to keep as much working capital on hand. So that’s always a possibility, but in terms of an increase in our recurring dividend it’s going to be at least a year away.
Chris V. McCampbell – Southwest Securities, Inc.: Okay, in regards to the lawsuit do you all have any additional color on a timeline, how much longer this might drag out?
Robert S. Herlin: Well, there is two things about that lawsuit, first of all it’s primarily about the when payout occurred. So now that payout has occurred, the argument is whether or not we – it should have occur earlier and any economic losses that we sustained due to the environmental damages. So from our perspective it’s primarily an upside case for us, we already plan in that lawsuit, obviously Denbury filed the customary counter claims with – I would characterize that it’s primarily upside for us from where we are today. Timing was it’s – that’s a 2015 event, we are still early stages to cut the general discovery so forth that, other than that I really can’t and won’t comment about litigation, it is out there and we are dealing with it and they are dealing with it and operationally we get a long fund, we talk with them on a regular basis, because it’s in both interest to do that and the litigation is truly a separate issue.
Chris V. McCampbell – Southwest Securities, Inc.: Congrats again Bob, thanks.
Robert S. Herlin: Thanks.
Operator: Our next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, and congratulations for the quarter. Quick question, what do you think is the big production of Delhi field is going to be?
Robert S. Herlin: Our production forecast from our outside engineers to go and make none show that production is likely to not start increasing again for until sometime in 2016 will be flat until then. And then it should start increasing as we continue the expansion of the project and as we add production from the gas plant. Peak production if you look on 2P basis occurs towards the end of this decade, if you throw in the possible peak production actually even didn’t get reached until sometime after the end of the decade, early next decade. So we are looking at pretty good growth over the next say five to six years. That peak production rate on a barrel oil equivalent basis is in well in excess of 10,000 barrels a day growth, also oil equivalent a day.
Unidentified Analyst: For the entire field or…
Robert S. Herlin: Yes, that’s the entire field.
Unidentified Analyst: Okay, 10,000.
Robert S. Herlin: Yes, in excess of 10,000.
Unidentified Analyst: Perfect. Thank you, appreciated.
Robert S. Herlin: You bet.
Operator: (Operator Instructions) Our next question comes from Bruce Brown of Brown Capital Management. Please go ahead.
Bruce Brown – Brown Capital Management: Good morning gentlemen, and again it’s a good day for – good time for Evolution.
Robert S. Herlin: Thank you.
Bruce Brown – Brown Capital Management: As the reversion kicking and we appreciate that. What is the timeline – construction timeline on the estimated on the recycle gas processing plant at this point?
Robert S. Herlin: The timeline as explained to us by the operator, my conversations with them is to start construction fabrication and so forth in 2015, installation will start in early 2016 calendar year and have it online sometime mid calendar year 2016.
Bruce Brown – Brown Capital Management: All right, thank you very much.
Operator: Our next question comes from Nicholas Tomy, Private Investor. Please go ahead.
Unidentified Analyst: Hi guys.
Robert S. Herlin: Hi.
Unidentified Analyst: It’s been a long time [indiscernible] yes. Great day, here that finally reached that spot, I was hoping that would have been earlier, but…
Robert S. Herlin: I could assure you so [indiscernible].
Unidentified Analyst: Yes, so as far as the dividend goes and stuff I mean how low that oil prices have to go in order to put the dividend jeopardy I mean…
Robert S. Herlin: It would have to be something that not only it would have to be lot lower than we were now, it would be have to be something that we would believe that’s going to be sustained for a long period of time, because we do have substantial liquidity in the company, and very low to cut dividend and obviously the large shareholder kind of like that decision, all those employees – shareholders are, but I would add to it, I’m not going to give you specific number, but it would be a lower oil price that we think was going to be sustained for a long period of time.
Unidentified Analyst:
Robert S. Herlin: I agree with you, it’s going slow, it’s been going slow for last I guess two, three years, when we first started this to large extent that was driven by having the way to get the pattern and then probably the biggest obstacle is that this is a huge educational requirement required to get people even pay attention. At the same time you are fighting the competition for staff attention, and interest and effort at companies, they have been just drilling bad heath up to date. We suspect it is oil prices have dropped that they might start focusing more on existing wells. So there is lot of things you are competing with, again in front of these operating people to show them what the benefit is and then we have to show them that it works and why it works and how it works and how it’s going to impact them, and then they want to see it on their own wells. And so it’s an intensive education process, we’ve made some tremendous strides this year, but unfortunately they are not the kind of progress that in the publicly disclosed or easily quantified that is at the function more of how much interest we are getting the fact that people are calling us, wanting to hear about this, they are inviting us to go present to their engineers, they are calling us to talk to them about specific problems and issues in areas, we’re getting lots of request for presentations, our official symposiums, industry events and so forth. Daryl Mazzanti, our EVP of that sub is generating tremendous frequent fire miles. Traveling seems like on a weekly basis to make presentations. We have a number of tenders out to companies. I am hopeful that we’ll be able to start talking about some of these in the near future. So internally we are seeing great progress is just not something that publicly we can talk about to make me feel real good about it, other than say hey trust us we really do mean it. And I know that 3 bucks will get you a cup of coffee.
.:
Unidentified Analyst: Being a holder of the preferred I mean what would have to happed for that to get called in or…
Robert S. Herlin: Well, obviously that is a target for us because it is more expensive than our revolver would be, there is a lot of uncertainty around now – around oil price, we are starting to get some clarity on our CapEx requirements. As we get more clarity on that maybe more clarity on oil price, get a revolver expanded. Then I can see that would be – suddenly the board would start think about during fiscal 2015, but I won’t commit to that or guarantee that or promise that and may not happen until fiscal 2016, just all the – we may see a tremendous opportunity to acquire cheap assets. And maybe that’s not such a bad piece of financing to have along with our revolver. So I can’t tell you what the answer is, I just know what I’m doing there tomorrow.
Unidentified Analyst: Okay. Thanks guys and good luck in future.
Robert S. Herlin: Thanks Nick.
Operator: And our next question is a follow-up from [indiscernible] of Sidoti & Company. Please go ahead.
Unidentified Analyst: Hi, thank you, guys for taking my question. Just really quickly is just reading through Denbury report yesterday. I think that they got somewhere close to $24 million on insurance reimbursements. What’s your share over that, if you guys have an idea or is that something that is included in the litigation.
Randall D. Keys: I think we are starting to straighten the areas that we were looking and talk about this pertained litigations. So…
Unidentified Analyst: Okay.
Randall D. Keys: I’d rather defer that or actually not just spread I rather avoid it.
Robert S. Herlin: And then also I’d one thing that they also in that same press release disclosed that they had I believe crude about 14 million of additional costs, that do offset that to some degree, they were also related to the Delhi field. But I think it is why that we just defer that question at this point.
Unidentified Analyst: Okay, no worries. Thank you, guys.
Randall D. Keys: You bet.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Mr. Herlin for any closing remarks.
Robert S. Herlin: Thanks everyone for participating this morning. These are good questions, we are very pleased with the news we had today, we are excited about where we are going, where we are at. And obviously we’ve been waiting for this for eight-years now. So get at this point, it’s time to breakout a bottle of Champagne. And hope everybody and our shareholders think the same way. If you have any others questions, feel free to call here and talk to Randy or to David or to me and we’ll be more happy to clarify any remarks that we have given you. Thanks again and good morning.
Operator: Thank you. This concludes today’s presentation. We thank you all for your participation. You may now disconnect your lines. Have a wonderful day.